Operator: Welcome to MAPFRE third-quarter 2014 results presentation. We are pleased to introduce Mr. Esteban Tejera, first Vice Chairman of the Group, who will conduct the presentation. Please go ahead sir.
Esteban Tejera: Thank you. Good afternoon, ladies and gentlemen, welcome to MAPFRE’s results presentation for the first nine months of 2014. As usual, I will give an overview of the results and the main business developments. And later Mr. Lubelli will explain the financials in greater detail. Please go to Slide number 3. During this period, MAPFRE continued to grow, increasing its premiums 1.8% to €16.9 billion. And these assets under management grew 13.6% to €37.7 billion. The combined ratio remained excellent, with only a small 50 basis point year-on-year increase. The strong development of the life business, together with larger financial income, made up for this, as well for the negative impact of the economic situation in Venezuela, containing the decrease in attributable result to only 1.6 percentage points. Shareholders’ equity per share increased strongly, by almost 12%. On page 4 you have the highlights of the results. Business growth mainly stemming from sustained development in Brazil; recovery in issuance in Spain, which is very important to remark, because this in the change of the tendency, not only for MAPFRE, but also for the sector as a whole, even if MAPFRE is leading this change of tendency. And, there has been also growth in the reinsurance and assistance businesses; along with positive impact of their position for the U.S. dollar and other currencies. The combined ratio remains at excellent levels, as I said before. We have significantly larger financial income, driven by the increase in the market value of the portfolio. And the equity has grown €1,242 million since year-end 2013, due to several factors. Firstly, the results for the period; secondly, the positive mark-to-market adjustment; and thirdly, the appreciation of the Brazilian real, the Turkish lira and, above all, the U.S. dollar. At constant exchange rate the premium would have grown 8.3% and the attributable result 3.7%. On Slide 5, I would like to remark how the signs of the growth in the Spanish economy now. There is a growing [indiscernible] of that growth that is some kind of recovery that are supported by the GDP figures, but also by numerous others indicators that have savings of consumer goods, vehicles and real estate. The outcome of the stress test for the banking sector provided further evidence of the strength of the economy. In this environment, as in other times I have mentioned, we have the position in MAPFRE that allow us to benefit of this. If you look at Page 6, MAPFRE traditionally benefits from its traditionally proven approach to pricing. During the period we have reduced our average premium only by 9.4% in a period, where the rest of the sector has declined their average premium by 19.2%. This obviously has a positive impact in our combined ratio and enhances our competitive position, vis-à-vis our competitors, to withstand any increases in the loss experience possible to occur in the next months, due to the recovery of the economy. As you can see on Page 7, MAPFRE has found itself in similar operating environments previously. And usually when the economy starts growing again, if I could say recovers, our competitors have to raise tariffs more than MAPFRE. Given that ours continues to be the strongest brand in Spain, that strengthens our competitive position and we tend to outperform the market at times of economic growth. According to ICEA, the Cooperative Research Institute for the insurance sector, in third quarter this year we have already added 30 basis points to our market share in motor insurance. On Page 8, you can see how we are performing very well in developing our market also. Our joint business with Banco do Brasil is strongly outperforming the market and now ranks number one in several lines, and number two in motor insurance, with a very, very, remarkable market share in every rank. As you know, MAPFRE, and we describe the operation on Page 9, MAPFRE has agreed to buy Direct Line’s Italian and German businesses for a consolidation of €550 million. These companies fit well our targets, because their profiles fit well with MAPFRE’s diversification strategy, which included – it involves the expansion of business in Europe in direct insurance. They are leaders in their respective markets and profitable. And they complement very well our strengths and give us opportunities for improvements in both ways – in two ways. In the operations we acquire through the deployment of our systems and expertise, and especially our expertise in online business; and in our businesses in other countries through a combination of our Internet platforms with the guided pre-insurance systems. On Page 10, you have the agreement of the Board of Directors that have resolved to pay an interim dividend against the 2014 results of €0.06 per share. Therefore, the total dividend paid in the year amounts to €0.14 per share, which means roughly more than 5% of the dividend yield in the year. In total, the outlay amounts to €431 million. Well, these are the highlights of the period. I will now hand the call to Mr. Lubelli, who will comment upon our financials in a little detail.
Luigi Lubelli: Thank you, Esteban. Good afternoon, everyone, on the phone and on the line. Please let’s move to Slide number 12. Here we have the consolidated income statement. As we explained in the previous results’ release, when talking about financials, we will be giving explanations both on the cumulative figures and on the valuations in the third quarter alone, third quarter of 2014. If we compare with June, the consolidated figures I’m talking about, we can see in the non-life account a turnaround in premiums; now we have a positive growth. In the first and second quarter we had small contraction. In comparative terms, we also have the best reading in the year in the technical result. And we see a strong rise in financial income, which was mainly driven by realization gains that came primarily from Spain. Also, in the life account we see an acceleration in growth compared to June, and I mean premiums’ growth, while the bottom line is developing broadly in line with what we saw in the first half. There is nothing really significant to report about other business activities, which are very much in line with the first half. We see, as we saw then, the adjustment for inflation in Venezuela, which is clearly a large figure, it’s €57.9 million. But compared to June it only increased €12.5 million. So thanks to the better performance in the non-life account, and this slower growth in the negative inflation adjustment in Venezuela, we can see that the growth of pre-tax profit accelerates compared to June, when we had 8.7% now we have 13%. However, in the bottom line we see a small 1.6% contraction, which is mostly due to a higher tax rate. Just as an observation, if we were to exclude the inflation adjustment, the profits would be basically flat, at the same level as they were in 2013. On Slide 13, we have the non-life account. And when comparing the variations in the cumulative figures of September against June, we have to bear in mind that this year we saw exactly the reverse of what we saw in the third quarter of 2013. This year we had premiums’ growth in Spain and a depreciation of the euro; while last year we saw exactly the opposite: an appreciation of the euro, which reduced the amount of premiums coming from abroad, and the contraction in Spain. So the combination of these movements magnifies the increase that we’ve seen in the third quarter of this year. There is greater detail on the non-life account on Slide 14. On a cumulative basis we can see premiums’ growth, which comes from primarily Brazil, the assistance business, and the recovery in the Spanish retail sales. This was enough to make up for a contraction that we are observing in the commercial insurance business, both in Spain and abroad, which is mainly due to a very intense competition in this line. We see the loss ratio go up, on a cumulative basis I’m talking, due to a slight decrease in net premiums earned, as well as higher frequency in Spain and Brazil, together with weather-related claims in the US; we’ve had a few of them even in this quarter. These increases were made up to, by a very large extent, by MAPFRE which has, this year, a much lower amount of catastrophe losses. The expense ratio, once again on a cumulative basis, falls thanks to lower acquisition expenses at MAPFRE America, especially MAPFRE America, but also MAPFRE RE, which compensate the increases that we are experiencing in other companies, especially in Spain, which is due to a different recognition criteria for acquisition expenses and to changes in the business mix. Quarter on quarter, if we compare the first quarter to the second quarter, we see that premiums fall. And this is mainly due to seasonality, which was especially pronounced in Spain in reinsurance. If you compare the figures in 2013, the third quarter of 2013 with the second quarter of 2013, you will see broadly similar variations. When we compare now this period with the same period of the previous year, we do see a significant increase of 4% in the premiums, which is basically moved by the same drivers as the cumulative figures, which I will say was Brazil; assistance and the recovery in Spain; plus the positive impact of the appreciation of foreign currencies. The loss ratio in this quarter went up mainly to hurricanes Odile and Ela; and to weather and household claims in the US; and some seasonality effects in MAPFRE EMPRESAS, which normally sees an increase in it loss ratio in the third quarter. These increases were partly offset by the improvements we saw in Brazil. The expense ratio was broadly unvaried in the quarter. On Slide 15 we have the financial income of the non-life account, which has a significant impact on the result of this account. We have clearly larger realization gains, which were driven by a significant increase in the market value of investments; I imagine that doesn’t surprise anyone. We had growth in business volumes, which made up for the falling rates in Western economies. And, if you remember, last year we had negative mark-to-market adjustments in Brazil in – which the figure was around €50 million, which had a negative impact on the accounts and which we no longer have this year. Slide 16 we have the life accounts, which shows a significant improvement over 2013, both when we look at it on a cumulative basis and also on a quarterly basis, and the reasons are on slide 17. We can see that we have premiums growth, which is driven by strong performance of the bancassurance businesses in both Brazil and Spain, especially Brazil, but Spain is significant this year; it’s quite a remarkable amount in terms of growth. On a yearly basis we have a significant contribution of the reinsurance business. As you know, reinsurance comes – develops differently from the direct business. But, given that we wrote significant new business in the year 2013, now, in the year 2014, we are recognizing the premiums coming from that business. On a quarterly basis, we see a decrease and that’s because the sales volume in Brazil in the second quarter was exceptional; and because of the seasonality in Spain, which applies to both the life and non-life businesses. It does not show up in premiums, but it is worth mentioning, the very strong performance of the agents’ channel asset management business in Spain, which has a net inflow of €205 million, which is over 4 times the amount collected in the first nine months of 2013. Of this €205 million, €67 million came in the third quarter alone. The technical financial result benefits from the very strong development in Brazil, which, of course, bearing into account the impact of minorities now makes up more than 50% of the technical financial result of the life account. The growth in funds under management, better technical results in Brazil and in reinsurance and realization gains of slightly above €30 million in Spain. As I said before, on slide 18 there’s not really anything to report about the other business activities. So I will move directly to Slide 19, where we have the bottom line. I already mentioned before the variations in the bottom line. On Slide 20 we have a more detailed description. We have a significant increase in pre-tax profits that’s coming from larger financial income and better technical result in the life account, especially in Brazil and reinsurance, which to a large extent is offset by the inflation adjustment in Venezuela. As I said before, tax rate goes up. That comes from many reasons but, clearly, the larger one of them, the one that has a greater impact, is the growth of the Brazilian business, which, as you know, has a tax rate of 40%. The share of minorities goes up, because profits are growing comparatively faster in Brazil and in the bancassurance subsidiary in Spain. The balance sheet is shown on Slide 21. The trends are very much the same as we saw in the first half. As you can see on Slide 22, we have total assets, they are growing solid, in my view, 12.5%, which is driven by business development. This business development was strongly compounded by the fall in Southern European credit spreads and in this quarter – specifically in the third quarter, by the appreciation of several foreign currencies that are relevant for MAPFRE, chiefly among them the U.S. dollar. The overall solvency is developing especially strongly. Year-on-year shareholders’ equity is up nearly €1 billion, and that is decreasing €175 million. So, there’s a material improvement on that front. On Slide 23 we have the movement in equity, including minorities, which continued to increase, and very much so in the third quarter, and now exceeds by €1.2 billion, the figure for the end of 2013. The reasons are very much the same that we saw in June; they are on Slide 24. Of course, there’s profit growth. In addition to that we have strong and positive mark to market, especially on Spanish assets, even taking into account shadow accounting. As I said before, we have the appreciation of the U.S. dollar, the Brazilian real and the Turkish lira. In this quarter the positive impact of the dollar was especially. On Slide 26 we have the information by regions, profits and premiums. In terms of premiums, year on year, there’s basically no change. The figure is almost identical to – except for a few figures above the [indiscernible] in terms of breakdown of premiums. We do see, in terms of profit, a significant increase in the contribution of Brazil and MAPFRE RE. They both have gone from a contribution of around 11% last year to a contribution of over 13% this year and they made up for the fall in LatAm South, which is negatively impacted by Colombia and Chile, as well as for the contraction in MAPFRE USA. If we compare quarter on quarter, the differences are minor as well. The most that changes, compared to June, is LatAm South, and I will be explaining shortly why. On Slide 27 we have the premiums for the regions on a cumulative and quarterly basis. On a cumulative basis we have several drivers: the sustained development in Brazil; the growth in MAPFRE RE, especially in the life business; the growth in LatAm North in general life assurance; and in Iberia we have the growth of retail non-life and life. These positive developments make up for the fall in LatAm South, which is due to several reasons. There is a contraction of the life business in Colombia. There’s the impact of depreciation in several countries, which is especially strong in Argentina and Chile. And there’s a decrease, in Chile, of the mortgage-related business. If we look on a quarterly basis, we see that the volume of issuance has decreased significantly compared to the second quarter. As I said before, there’s a strong impact of seasonality in Iberia and RE. I have to say that in Brazil the growth was not as strong as it was in the second quarter where it was exceptionally strong, but it continued, both in life and non-life. As you know we changed the exchange rate for Venezuela in June and as the year progresses, its impact is – becomes greater and that has had an impact on the development of the figures of LatAm South in this quarter. Internationally, these decreases were partly offset by the positive impact of exchange rates in the United States and Turkey as well as a very good development of business in assistance throughout the world, but especially in North America. Lastly, we have the profit figures for the regional areas. On a cumulative basis, we see notable increases in Brazil and MAPFRE RE. In both cases that is due to better technical results and larger financial income. We also do see a strong improvement in EMEA, thanks to a very significant increase at MAPFRE Global Risk, which had a large claim in 2013 and no longer did so this year. This positive development made up, to a large extent, for the falling profits in the United States, which is primarily due to weather-related claims. LatAm South, which has this year the impact of the Iquique earthquake and last year had extraordinary realization gains in Venezuela and Colombia, which magnify the fall in 2014. To a much lesser extent we have a decrease in Iberia, which is small in MAPRE FAMILIAR, MAPFRE EMPRESAS and MAPFRE Portugal. If you look quarter on quarter, we see that the profit increase is in MAPFRE RE, driven by larger financial income and EMEA, reflecting a better performance in Turkey and the assistance business. They were partly offset by a fall in LatAm South, which, in the second quarter, had large gains in Venezuela on dollar-denominated assets, due to the change of exchange rate and no longer had so in the third quarter. In the second quarter LatAm South also benefited from reserve releases in Peru. Lastly, in the case of Iberia we saw a higher loss ratio in the commercial insurance and the assistance businesses. As far as I’m concerned, this concludes my presentation. I will give back the call to Mr. Tejera for the Q&A session.
Esteban Tejera: Thank you, Luigi. Well, we are now available to answer your questions.
Operator: Good morning, ladies and gentlemen, the Q&A session starts now. [Operator Instructions] Our first question comes from the line of Federico Salerno, MainFirst. Please go ahead.
Federico Salerno – MainFirst: Yes, good morning, good day – sorry. A couple of questions, please. On Venezuela, you touched upon it, I was wondering, could you repeat what the exposure is and if you guys are preparing for a default from a business perspective? That’s the first question. And on a more cheerful topic, the dividend. Is it reasonable to expect a similar increase for the full-year dividend? What’s the outlook here considering that shareholder’s equity has gone up another €500 million during the quarter? And then last point, where do you stand with regards to you have this cash with BBVA on distribution via Catalunya Bank? Thank you.
Luigi Lubelli: Hi, Federico; good afternoon to you. I will have to look into – actually, I’m trying to look into the annual report for the exposure of MAPFRE to Venezuela. In terms of the net equity the exposure to Venezuela is not a large proportion of our total equity, but we’ll look into the figures to give you an answer. Mr. Tejera will expand on that. In terms – over the years MAPFRE has received a significant amount of dividends from Venezuela, which somehow means that we have recovered a very significant proportion, if not more than what we have invested in this company, thanks to a very good performance. But I wonder if –?
Esteban Tejera: Yes, in any case – well, first of all, this is a possible continuity in the future but not probably in the short-term. But in any case, it’s not my role to comment and to forecast about the future of the countries. But I would like to remark that we have an activity in Venezuela, like in other countries, that is mainly an activity of insurance for particulars and we have there our business. And that in case of a default, the problem could be the possibility of getting dividends from the country for a period of time. It depends on if it happens or not; and then if it happen, for how long is the situation? From the point of view of this position, we give the figures. And we have past for of bad periods in different countries during the more than 30 years that we are in Latin America and our will is to stay there. So, if we are able to maintain our activity and help our policyholders in the country, we can wait for a period of time in order to get a dividend. We are not thinking about leaving Venezuela or another country in Latin America, due to – according to the situation in the short-term.
Luigi Lubelli: The net equity in Venezuela, roughly, at the end of the September is around €280 million equivalent. Federico?
Federico Salerno – MainFirst: Thank you.
Esteban Tejera: Your question about the dividend, was it – the dividend can be upheld or the – or these are the final dividend of the year? Well, I think that the good news is that this is 20% higher than the interim dividend we paid a year ago. And this shows, in our view, the strength of the company from the point of view of solvency and the financials of the company. We need to wait until the end of the year to know what shall be the final figure and then the Board will decide what will be the dividend. Our policy is to have a dividend that is good from the point of view of the yield we are giving to our policyholders and according to the financial situation of the Company, and both are very strong at this moment. But I can’t give you more details about a decision that we will be taking in four or five months. And you mentioned the BBVA agreement. Well, at that time we continue to work in the same way that we did before. BBVA have not communicated as the decision, and we have to wait until the time they had a decision on the continuity of the business or even a change of the partnership. We are not considering the issue in the short-term, to change our policies of dividend or in other material things.
Federico Salerno – MainFirst: Okay, thank you.
Operator: Our next question comes from the line of Atanasio Pantarrotas from Kepler Cheuvreux. Please go ahead.
Atanasio Pantarrotas – Kepler Cheuvreux: Yes, good afternoon to everybody. I’ve some questions. The first one is related to the expense ratio, which improved materially, especially in the Brazil business. You mentioned that it was due to the lower acquisition cost and I wonder if this level could be considered sustainable or not also, in the future? The second question is, if you can provide us an outlook on the evolution of the Spanish motor business. The last data, the market continue to show a further decline of the premiums, so the further decline of LGIM premiums, as you mentioned in your slide also? And some pickup in claim frequency, I guess also due to the higher number for vehicles around and maybe an economy recovery? And I wonder if you think how long could go on this competition and if you expect Baremo to have an impact on this trend and tariff in the next years? Final question on harvesting, I saw that you have a material contribution from annualized gains, especially in the third quarter, close to €100 million just in your life business. I wonder, what is your investment strategy for the quarter, so if you will continue to harvest and to sustain profit by annualized gain, or you will be more cautious maybe due – believing in a prolonged low-interest rate scenario? Thank you.
Luigi Lubelli: Good afternoon, Atanasio. The expense ratio in Brazil is simply due to a different mix. There’s a greater mix of certain kinds of business coming from the Bank network. And as you know, acquisition expenses, the fees that we pay, depend on the type of product. The types of products that have been sold through the Bank have comparatively lower commissions and that is why the expense ratio has fallen. As you know, we don’t give forecasts. To the extent that the development of sales as the Bank continues at the pace we have been seeing, that should be a – some sort of a reference level. Yes, that is contingent on the volume of sales at the Bank continuing to develop as they do. Perhaps on the Spanish motor business, we are a bit more optimistic than you are. It is true that the contraction of the market is 1.7%. It’s also true that a year ago it was 8% negative, so there clearly is a recovery in sales. The cumulative figure is the result of the figures of several quarters. Now, as far as we can see, and from anecdotal evidence from other companies operating in the market, we see that something similar is happening elsewhere. We have seen, especially in the second quarter, that – and you will be able to notice that if you look at the quarterly figures alone – there has been a small, but very encouraging increase in sales in motor insurance. So we are seeing – we believe it is a turning point. Frequency somehow comes from the same piece of answer. There is frequency, because, as Mr. Tejera was highlighting, the economy is doing better. So, simply, people are moving around more, and it is obvious that that makes them more likely to have accidents or losses. So we are actually – we believe what we’re seeing; both the frequency and the premiums are evidence of the fact that the economy is moving again. The impact of Baremo; we will know when Baremo is established. Personally, and we at MAPFRE, we have always encouraged you not to get too carried away in terms of concerns by Baremo. Obviously, or most likely, Baremo means that some kind of claims which are in courts of law will become more expensive, that is true. So in the shorter run, they can impact the loss ratio negatively. But at the same time, at least if you take a technical approach to underwriting, they should result in higher tariffs. Whenever similar changes happened in the past, they were followed by a season of tariff corrections, which eventually were positive for the business. Of course, we cannot guarantee that it will be the same this time, but there are reasons to believe that it is possible that this could happen again. In terms of harvesting, it’s difficult to answer your question. At the end of the day, we do the – we try to act in the best interests of our shareholders, and this was, you know, our business is made of both technical and financial results. It was a good moment. Actually, we believe we did the right thing, because only a few weeks after the closing of the quarter, things in the market were no longer as good as they used to be. So we think it was good to at least take part of that, and time will tell on what will be possible in the future. As you know, in the life business, the level of rates in MAPFRE is not that relevant, because our business is fully matched. So that is really not an impact on the ongoing business. On the non-life side, clearly, there will be less financial income. But, at the same time, we have good underwriting results that helps us out on that front. I wonder if you want to add anything.
Esteban Tejera: No, it’s true that we saw seasonal good conditions after the market up until the summer, and we took advantage of that. But as you know very well, our approach is very cautious in this area of investment and the recession gains. So no, nothing more to add.
Atanasio Pantarrotas – Kepler Cheuvreux: Okay, thank you very much.
Operator: [Operator Instructions] Our next question comes from the line of Harvinder Singh from Nomura. Please go ahead.
Harvinder Singh – Nomura: Hi, good afternoon. A few questions. The first one is, now, when financial markets are more stable and as Spanish economy is recovering, can you please provide some sort of guidance for premium and bottom line for this year and the next? My second question, related to the first one. So far this year your reinsurance business is doing really great. Financial income has been also really good. So, from where do you see a positive earnings momentum that can come for the next year? And third question would be if you can just provide some color on your economic and rating capital, post this recent acquisition, where you are going to spend some €550 million, and then after this dividend – interim dividend. Thank you.
Luigi Lubelli: Good afternoon, Harvinder. Let’s see. Just as a rule, MAPFRE long ago decided not to provide forecasts on premiums and profits, so we cannot give you figures. We can tell you – however, we can help you out, or illustrate, let’s say, the trends that we are observing in our markets, in the markets where we operate. And if those trends continue then you will be able to draw your conclusions alone. As we are saying, we do believe that things are developing much better in Spain, certainly, than they did a year ago. But I would go as far as to saying as they did in the first quarter of this year. We have a Spanish business that is performing materially better than it did a year ago. If you look at our performance relative to the market in motor insurance, we have been closing the gap quarter by quarter. We began in the first quarter of this year, underperformed in the market, and now we are in line with the market; actually, slightly above the market, because we are selling comparatively more. As a matter of fact, we have added a final around 30 basis points to our market share in motor insurance this quarter alone in Spain. So if you look at health, it’s growing twice as fast as the market, if not more. Life, we’re doing much better in the market as well. So clearly, Spain is, for once in a long time, a bright spot in the MAPFRE business. And on the back of the improving economy in Spain, it’s clearly something that looks poised to be a positive contributor to our development going forward. Another element, which possibly people did not pay too much attention to, but it’s a numerical reality, is the fact that we are along the U.S. dollar significantly. We closed the year with about €2 billion equivalent net position in U.S. dollars. And clearly, the performance of the currency, if – and once again that’s your conclusion to draw. If the exchange rate continues developing the way it is now, but you already are seeing the impact on our figures, these figures were closed at 1.27, I believe at the end of October, and we are 1.25 now. Clearly whatever gain there is on that front, it will be a positive one. I would say those are main trends. The business, as you know, is developing reasonably well. I have to say that the business in LatAm South perhaps this year been affected more than one would have expected. Next year, we’ll likely have a much smaller Venezuela. But it is also true that many countries, this year, are very strongly affected in the southern part of Latin America; possibly next year will not be as affected as they are this year, which would be also a positive addition. I wonder if these elements help you in answering your question.
Harvinder Singh – Nomura: Yes, partly; I’m getting the sense, but the second part of that same question, okay, because your reinsurance business this year has been very, very strong. Your financial income has been strong so far. Going into the next year, can you just provide some sort of a sweet spot? Do you see that, okay, there is a possibility of further profit growth? Or rather the further profit growth may even come from the cost savings? So which – of those areas, where can we expect the positive profit earning momentum to continue?
Luigi Lubelli: Well, you know that our Chairman in the Annual General Meeting stated a very clear goal of reduction of expenses and of containing our combined ratio below 96%. That is our goal. The goal is public. And that goal is a goal that is aimed at the year 2016, and we continue to work on that, so that remains and, certainly, will be a driver of profit improvement. I would also say that, and now remembering another place that this year is especially strongly affected and it is bearing on the results negatively, is the United States, because of the weather. So a return to normality in the United States would be felt on profits quite strongly.
Harvinder Singh – Nomura: Okay. All right. So that leaves with one more question that is on your capital position in terms of rating and economy.
Luigi Lubelli: Yes, well, firstly, the first answer to your question is that we have not acquired those companies yet, so they’ve not had any impact on our capital position. But whatever the case, if you were to crudely look at the economic capital, I would say that the increase in equity coming this year from profits, foreign exchange, and appreciation of the market value of investments greatly outstrips the economic capital impact of this acquisition, if it had been already carried out.
Harvinder Singh – Nomura: Okay. Thank you.
Operator: [Operator Instructions] Our next question comes from the line of Federico Salerno from MainFirst. Please go ahead, sir.
Federico Salerno – MainFirst: Thank you. On the U.S., which you mentioned, do you expect the cycle to get better beginning of next year? What’s your outlook on that if you have one?
Luigi Lubelli: Federico, really this year it’s not actually a matter of cycle. If you look at the business itself, the business itself is doing – for the size of the economy that we are talking about and for the economic situation, actually the sales are doing pretty okay; we are growing at around 4%. Especially we’re growing at more than twice that rate outside of Massachusetts. So the business itself is all right. The issues have not come from the business. There’s two main issues in the United States. One is that we’ve had really a big impact of all sorts of weather-related claims with it, especially in the first quarter, but we also did in this one. Then there is one which is, yes, is structural. It’s the fact that this company now has a smaller investment portfolio than it did a year ago, because we repaid, on maturity, the bonds in December, which of course, consumed cash. Then, as you know, the company paid a dividend of, I think, around 100 million – 150 million, which of course, also reduced its investment portfolio. That does have an impact, because the smaller amount invested, and it is invested at a lower rate, so that does have an impact on the performance of the U.S. company. But not the cycle; the business itself is actually all right.
Federico Salerno – MainFirst: It’s fair to say that the combined ratio you are expecting next year at MAPFRE INTERNACIONAL should be – count for – below 100?
Luigi Lubelli: Well, astrology is not my ability, but the – I have to say that this year, the incidence of the weather-related claims is especially large. I’m calling up the figures, and you have a full 3 percentage points more in the loss ratio, which is a lot of money. In this company, it’s about 30 million, which is almost precisely the decrease in the net results that we have in the year.
Federico Salerno – MainFirst: Okay. Thank you.
Operator: [Operator Instructions] There are no further questions.